Operator: Dear ladies and gentlemen, welcome to today's Q3 2021 Earnings Conference Call of Evonik Industries AG. At our customer's request, this conference will be recorded. [Operator Instructions] May I now hand you over to Tim Lange, Head of Investor Relations. Please go ahead. 
Tim Lange: Thank you very much, and good morning from Essen here and from a cloudy Essen for our Q3 conference call. With me, as usual, are Christian and Ute, and we will try to bring some sunshine into your day with our presentation on the Q3 results. With that, I hand over directly to Christian. 
Christian Kullmann: Ladies and gentlemen, good morning, and thanks a lot, Tim for your blooming introduction. Thanks for taking the time with us today, and I personally do hope that you are all in good health. 
 Early this morning, I stated my hope -- please forgive me. Earlier this year, I stated my hope that 2021 will be a year of growth and optimism. Today, I guess it is fair to say that there is good reason to be more optimistic although we have not yet overcome the pandemic, and we still have to cope with ever near and unexpected challenges.
 Infection rates globally still remain high, but rising vaccination rates have brought back a more normal social life and, in many cases, a less severe cause of the disease. Also, at Evonik, we were able to continue the strong recovery of the first 2 quarters. However, supply chains are tighter than ever, trading disruptions and severe price increases for raw materials, energy and logistics, too. 
 Thanks to the outstanding achievements of our employees in procurement, logistics and operations, and thanks to stringent execution of our strategy, we were able to mitigate the headwinds to a large extent. Therefore, growth and optimism still remain an accurate summary of the current year. And today, we'll show you why it is our headline for the next year for 2022 as well. 
 So let's get started with the highlights of the third quarter. Compared to the prepandemic year 2019, we posted double-digit EBITDA growth in the first and second quarter and continued to do so in the third quarter, with plus 19%. In today's environment, the sequential perspective, however, becomes more and more relevant, so we are happy to report that the positive demand trends from the third quarter were unbroken across all of our businesses in the third quarter. 
 We were able to generate an almost stable adjusted EBITDA of EUR 645 million. This is already a robust result as it reflects the usual seasonal pattern, but it is even more an achievement considering several negative onetime effects we faced this quarter. Supply chain constraints, maintenance shutdowns and one-off provisions limited the upside. We expect some of these effects to prevail into the fourth quarter, probably in an overall similar magnitude. But ladies and gentlemen, as I prefer to look at the bright side of life, they will not reoccur in the next year, so support a pretty and solid start into 2022. 
 Now Ute will shed some more light on the third quarter results. 
Ute Wolf: Thank you, Christian, and welcome from me as well. 
 Let us start with our ability to pass on prices which is a key success factor to master the significant cost increases for raw materials, logistics and energy. We stepped up our efforts in our pricing initiatives in Q3, and we will see the positive impact from these measures with the timing. We expect the full effect to materialize in 2022, but it is encouraging to note that already now in Q3, our efforts are bearing fruit. 
 Looking at Specialty Additives and Smart Materials, price increases made up only 1% in Q2. Now in Q3, the price increases are clearly gaining traction with plus 6% in Q3, and the exit rate in September was even higher at 8%. As we are constantly implementing further price increases throughout Q4, we are confident that this trend will continue and even accelerate into 2022.  
 Let us have a look how this translates into the gap between higher variable costs from raw materials, logistics and energy and our own price increases. On group level, due to our price increases of in total EUR 450 million year-on-year, we were able to roughly compensate the cost inflation effects already in Q3. 
 Of course, a large portion of this is attributable to Performance Materials. The division continues to act as a natural hedge against higher raw material prices. The higher oil and naphtha prices can be passed on rapidly here. 
 More impressive though is our pricing ability in our growth divisions. We are constantly closing the price gap. And while for Q4, we will most likely still anticipate a small negative gap, this trend will reverse in the course of 2022. Consequently, we expect, for 2022, a positive net pricing effect in our growth divisions. 
 Before I will highlight the strong EBITDA performance per division, let me briefly put our group performance in context. If we look on the sequential comparison Q3 versus Q2, it is fair to say that we have at least matched our historic patterns throughout normal years such as 2017 to 2019. This fact is yet another hit -- hint that we are well underway to demonstrate pricing power in our growth businesses and that the strategic direction to focus on these growth businesses is clearly paying off. 
 Now we move on to our divisions. Specialty Additives has enjoyed unchanged strong demand across virtually all businesses. In this division, supply chain constraints have limited our volumes the most and raw material tightness also resulted in higher logistic costs, in some cases, even using airfreight and less favorable product mixes.
 Combined with the still negative gap between price increases and variable costs, this resulted in a somewhat lower margin. But with price increases gaining traction, supply chain issues being mitigated and pent-up demand supporting our order books, the outlook for the year 2022 is positive. 
 Nutrition & Care delivered a clear step-up in earnings, both sequentially as well as to the prior year? It is now even the eighth quarter in a row with a year-on-year EBITDA increased. Beyond the healthy business performance in Animal Nutrition continuing in Q3, we accounted 2 further drivers for the reported higher earnings level.
 One is the further accelerating contribution from lipid sales to BioNTech and the other is the strong demand for active ingredients in cosmetics. Also, our announced methionine price increases were put through successfully. We expect the full effect of these increases to become visible in the numbers of 2022. 
 Smart Materials continued its solid performance from the first half of the year, and the expectations are even brighter for 2022 with new capacities for Catalysts from Porocel, fumed silica in China and PA12 ramping up. For Performance Materials, we observed continued tight markets, leading to higher margins in the C4 business. The natural hedge in our portfolio against higher raw material prices helped again this quarter. However, we stood below the full potential since the planned maintenance turnaround of owned facilities limited the growth. 
 Let me now jump to the free cash flow side. After a record free cash flow already in Q1 and Q2, Q3 is again posting the best-ever third quarter, jumping above EUR 0.5 billion in 1 single quarter. For the first 9 months of the year, we generated a free cash flow of more than EUR 900 million, exceeding the already strong last year level by 80%. The main drivers for this strong performance will be higher EBIT in combination with an unchanged high conversion into free cash flow.  
 With this amount already in the bag, it seems obvious that we are on track for the guided EUR 1 billion of free cash flow for the full year. However, let me flag some movements for Q4, which might be less clear at first sight. 
 First, we anticipate higher and back-end loaded cash tax payment in Q4. Secondly, on CapEx, we also expect a back-end loaded cash out in Q4 comparable to last year. Unlike in other years, we will probably see a lower net working capital inflow in Q4 as supply constraints increased the level of goods and inventories in transit. All in all, we come out around the guided EUR 1 billion for the full year, an impressive number and a quite striking proof of our cash generation power. 
 For more details on our outlook, back to Christian. 
Christian Kullmann: Thanks a lot, Ute. 
 Let's dive, ladies and gentlemen, into our EBITDA outlook first. On the back of the positive first 9 months as well as the continued positive dynamic, we are confident for the rest of the year as well. That is why we further specify our outlook after the upgrade we gave just last quarter. We now expect adjusted EBITDA to come in around EUR 2.4 billion. So in other words, at the very top end of the previous range.  
 With increasing uncertainty around us and all the discussions about cost inflation, this is a sign of confidence. It is a sign of optimism and of trust in our specialty portfolio. And the EUR 2.4 billion are a sound basis for continued growth in the next year. On the back of the well-supported EBITDA guidance and with the continued high cash conversion, we are able to upgrade our free cash flow outlook as well. 
 We are confident to come out around impressive absolute number of EUR 1 billion in free cash flow this year. This is the fourth year of free cash flow growth in a row and post a CAGR of close to 20% since 2017. And we are very committed. We are very committed to continue this track record also for the fifth year in 2022, so far, on 2021. 
 But since we are approaching year-end, let us give you already first preview into the next year into 2022. Also in the next year, we'll continue to execute our strategy and optimize our portfolio consistently and step by step. As you know us, we recently communicated the divestment of the Lülsdorf production site in Germany. This is the main site of the business line Functional Solutions in our Performance Materials division.
 While it is admittedly a smaller divestment, we talk about around EUR 100 million of affected sales, it is definitely the next step to simplify our portfolio and to exit noncore businesses in Performance Materials. And it is also the next logical step in our ESG strategy. Since the amalgam technology in Lülsdorf is classified as challenged within our sustainability portfolio analysis. As a result of our active portfolio management and the consistent strategy execution, all levels, we have delivered an EBITDA CAGR of 5% since 2017. And we are well set. We are well set to continue on the path next year. 
 Let me explain where this optimism and this confidence comes from. Maybe in a nutshell, we see 4 main components. First, we will continue to manage cost inflation well. Second, we are building on the strength of our growth divisions. They've proven both resilience in 2020 as well as strong growth in this year. 
 So in other words, we are prepared for whatever 2022 will bring. And the pent-up demand from tight supply chains will definitely support our order books and to start into 2022. Third, we'll benefit from the new capacities ramping up, most prominently in PA12 and lipids. And finally, we see an increasingly relevant growth contribution from our 6 resilient innovation growth fields. 
 Ute will now explain the first component how we successfully deal with cost inflation. Hand over. 
Ute Wolf: Yes. Thank you. Let me spend some more time on our energy bill, I think, a topic of high interest in these days. Of course, we could not escape the trend of rising energy costs and felt the impact on our P&L as well. But thanks to our long-term hedging strategy, around 2/3 of costs are hedged globally and across all energy types for up to 3 years in advance, we can alleviate the price explosion. Therefore, on group level, we contained the total energy cost increase to around 35% in '21. And as visible on our specified outlook, we were able to compensate that in the current year very well.  
 For 2022, we expect a continuous increase in energy costs, but our hedging policy will again dampen the effects. So the impact on our P&L is expected not to be more severe than in the current year. And again, our procurement and hedging strategy gives us a high visibility in advance for planning and taking adequate pricing measures.  
 On top, Evonik is improving the energy efficiency of its production site. The total energy demand will be slightly decreasing step-by-step on a like-for-like basis. For example, when the new gas and steam turbine power plants come on stream in Marl in '22 and '23, we will benefit from a much higher efficiency by using gas and replacing coal. On top, in line with our ESG strategy, we will no longer have any coal-fired electricity generation anywhere in the world. Christian, back to you for the Evonik organic growth drivers for '22. 
Christian Kullmann: Thanks a lot, Ute. I dare say 2021 is, in respect of the numbers and figures, done, so it is worthwhile to talk about 2022 that translates into looking at the main growth drivers for next year. I do think 2 businesses stand out in this respect. First, our Lipid business, Nutrition & Care, early identified structural market trends around sustainability as a guiding principle and tapped into these markets with successful innovations and acquisitions. 
 The result, ladies and gentlemen, is a strong position in very attractive growth areas like active cosmetic ingredients or drug delivery systems. In these 2 fields, our know-how in lipids is an important backbone. This is not only for our lipid production for COVID vaccines. Going forward, the potential from contract manufacturing of our mRNA lipid drug delivery systems as well as from lipid system solutions for cosmetics are even bigger. 
 From today's sales level of already clear triple-digit million related to our lipids, we expect to generate a CAGR of above 25% in the next 5 years. And this is broad-based across the 4 areas shown on this slide. Another major growth driver for the next year is our PA12 plant in Marl. Lately, the old PA12 market was limited in capacity and to satisfy the strong demand out of the crisis. Also, we are currently sold out.
 Additionally, we see some pent-up demand in the automotive industry from the current production cuts. Therefore, hence to this, we have the perfect timing to finally bring on the much-needed additional capacity at the beginning of next year, and with quite some head start ahead of our honored competitors. This should result in a quicker ramp-up than initially expected, at least in the first year. 
 We already have most of the fixed costs in our books this year, so the first volumes and sales will have a pretty attractive drop through to EBITDA and free cash flow. The PA12 plant also serves our 3D printing business, which brings me to our innovation growth fields. These innovation growth fields here, we will have another 5 assets up our sleeves for the next year, and ladies and gentlemen, the years to come. 
 They all have and come that has started from close to 0 sales back in 2015, today, several of them have reached triple-digit million sales with above-average profitability. They are resilient end markets, growing sales by 15% even in last year's crisis year. The long-term average growth CAGR is 25%, and in the current year, we will most likely end up well above this growth rate. So the innovation in growth fields are turning into sizable EBITDA contributor for the next year and will accelerate our portfolio transformation towards higher growth, higher returns and higher resilience.  
 Coming to an end of this presentation and taking all elements together, we clearly see healthy structural as well as shorter-term growth drivers for 2022. Thus, we are confident to continue in our structural growth path next year and the years beyond, obviously, always assuming a stable global economy. 
 With that, ladies and gentlemen, we thank you for your interest and your time so far, and we are now happy to take your questions. 
Operator: [Operator Instructions] And our first question comes from Gunther Zechmann. 
Gunther Zechmann: I'll start with 2. Could you be so kind to get your 2022 crystal ball out again for us? And maybe if you can talk about the growth drivers? I noticed your comments on LNP and PA12. But could you talk more broadly about demand you're seeing into next year, point A? And point B also, regarding raw materials and supply chain issues, please?  
 And the second question is around mRNA. What do you expect for the lipid platform? You guide for EUR 100 million sales this year. But since then, BioNTech have upped their guidance, so you say a significant growth in 2022, now presumably from a higher base. So can you give us an idea of what the base case is for your assumptions around depending on whether we need booster shots, et cetera, please? 
Christian Kullmann: Gunther, let's start with the question about the lipids platform and what do we expect for the next year. 
 Maybe first of all, I would share with you an observation I have made in last week. Some of my colleagues attending a conference with senior ranked offices of BioNTech, they have come back and then thought -- we're being amazed and excited about the comments BioNTech has given about us. They've said they have treasured us close to the utmost saying that the purity of the lipids Evonik is providing BioNTech with is outstanding. And in this respect, they are focused on the relevance of the formulation process where we are the, let me say, premium partner of BioNTech. And please forgive me to mention, but this has really excited me close to the utmost. 
 Now talking about your question in detail. Yes, we have informed you that EUR 100 million of revenues from mRNA and lipid-based therapies in 2021, we definitely see coming, partly from the mentioned pure lipid production and partly from the development and manufacturing of these very complex parenteral lipid nanoparticles. 
 Having said this, this will definitely grow. Both aspects will definitely grow further in 2022 because, first of all, driven by our fully integrated approach across the whole value chain. And for the first time in 2022, we will have 12 months, let me say, delivery in respect of our mentioned mRNA lipid-based production facilities.  
 So for the first time, we'll see 12 months outcome for us. Having said this, yes, it is somewhat a little bit difficult to give you a precise forecast for sales in 2022 because it depends a little bit on the further development of our lipid projects. But one thing you can take for granted, one thing is for sure, that we do expect to significantly higher sales because of the given arguments I've conveyed to you compared to 2021. So I guess, I hope that's easy to swallow and to understand for you. Having said this, Ute? 
Ute Wolf: Yes. Thank you very much. On the '22 developments, I'll start with the growth drivers. I think overall, we can say we have proven resilience in 2020, accelerated really impressive growth in '21. And if you compare the growth versus '19, I think that's even more impressive. So we are all set for '22. Cost inflation is managed well and the price increases that were initiated this year, they are now coming through to full effect and will close the gap to potentially higher variable costs.  
 And as I also pointed out, we will keep energy costs at a manageable level and will also, of course, with our pricing strategies, be able to absorb those to a certain extent. If we look to the divisions, I think Nutrition & Care, Christian just really elaborated on the LNP sales, but there is much more out there. I think we have a very, very pleasant development in our care solutions with active cosmetic ingredients. So they really performed very well. 
 The business has done a lot in the last 2 years to improve the product mix, to improve profitability, and we are now more and more really bearing the fruits here. So I think that is very, very satisfying. We had done some very specific acquisitions here lately, Botanica, Infinitec earlier this year to really become market leader in active ingredients. So I think step by step, that is a very consistent strategy. 
 Methionine prices have been rising in the last quarters. What we see for the first half, I think, are also good price levels. If you look at the respective feed info comments, you see that. And I think experience tells that this will hold for a couple of quarters. So I think we'll also have, at least, some support and tailwind here as well. 
 Smart Materials, they, of course, have future mobility. Eco Solutions have had them as growth drivers for a long time. If we look to single influences next year, of course, high-performance polymers with the PA12 plant ramping up. PA12 is sold out for many, many quarters already. So there's a strong demand in that market. And I think we'll really come right on time with our new capacity here. 
 Catalysts, we said we have new capacities by Porocel. We have a ramp-up of our silica joint venture in China, potentially another license in our active oxygen. So really a lot of growth projects underway that will fuel the growth for next year. 
 Specialty Additives, I think the structural demand growth drivers are very well intact. As described, we had some raw material shortages here and constraints. They will, of course, step by step, yes, disappear next year, maybe more in the middle of the year than to the beginning. We see clear pent-up demand. We are executing our price increases, partially quite -- significant price increases. So this makes us also, for the Specialty Additives, very optimistic for '22 as a whole. So I think [ those ] are the growth drivers for '22. 
 Raw materials, I think we explained a little bit on. On average, of course, raw material costs will be higher next year. But for some of our business, we have direct path on mechanism. I think that is also, volume-wise or cost volume-wise, biggest share. And in the other businesses, we expect that the sequential price increases that we now started that they will bear fruit next year. And I think we've given you some indications how much the gap is already being closed, and this next year will then turn to the positive. 
Operator: And our next question comes from Charlie Webb at Morgan Stanley. 
Charles Webb: Maybe just 2 for me. Maybe just one, if you could just flesh out what you're seeing on the volume side. Obviously, a lot of inflation, logistic challenges, energy inflation, energy constraints going on in the world right now. I'm just wondering to see how you see the demand environment moving into Q4 and the early part of next year. Is it still as robust as it has been, I guess, in Q3 and Q2 of this year? Or do you see some more alarm bells ringing whether there's any risk of some slowdown or moderation to come? So just one, on what you see on the demand side.
 And then two, just on CapEx. A lot of companies obviously fighting, the CapEx is likely to step up in 2022 versus 2021. Just wondering where you stand on that as you look at CapEx into next year. Do you feel the need to spend more as in you're constrained, you talk about being constrained in certain products? Do you need to add capacity? Or is it a case that you've got -- you can do smart debottlenecking, et cetera to manage that to allow you to grow. Just trying to understand that landscape from your side. 
Christian Kullmann: To be, let me say, very straight and very clear, and therefore, I could convey the answer in just a nutshell. The demand trends in our divisions are pretty well intact, and that is what we expect to continue into the fourth quarter of this year -- sorry, next. 
Ute Wolf: Okay. On CapEx, we have been working in the last years to really get a high level of CapEx discipline here in our company and that translates into a sustainable level of around EUR 850 million to EUR 900 million per year. I think if you look at the last 2 years, we pretty much delivered on that. That is also true going forward. And that's why we plan our activities and our projects. 
 In this framework, I think this year, we had with the PA12 final trend, I think we had, maybe, some extra stress on that number that will not reappear next year. So from that point of view, it's very clear for everybody here in the company, CapEx discipline and the framework is, in absolute terms, EUR 850 million to EUR 900 million, and this is what we work on. 
Charles Webb: That's really helpful. Maybe just a quick follow-up on the first question around the demand outlook. Just can you help us understand what's the kind of visibility you have today? Has that changed at all? 
 And also just maybe on some key end markets, just thinking about autos, the chip shortages, at what point -- you obviously talk quite constructively about specialty polymers, et cetera, going into the automotive industry. But at what point do you think some of those chip shortages and those kinds of reduced production rates, do you think that might materialize in your numbers? 
 Or do you think that, that's -- just given the markets you're serving, that's not likely -- you've obviously never seen a very strong mix in auto towards the big larger premium cars, which I suspect is favorable. But what if that mix doesn't hold, is there any risk there? Just trying to get a bit of a better gauge on that landscape, what you're seeing today and what you may be seeing in the future. 
Christian Kullmann: I will try my very best to give you a little bit more color about how we do judge upon automotive demand in future. And maybe as a starter, the underlying trend, the underlying trend in automotive is strong. And from our point of view, this remains unchanged, this trend, in the future.
 Having said this, yes, first half of the year, we have seen that first automotive producers have started idling production due to supply shortages, for example, here in respect to the semiconductor shortages. For us, for us, it was different, thinking about our own products in the third quarter. There was a slightly -- only slightly lower demand for our products because of 2 reasons. 
 First, we mitigate those temporarily weaker OEMs by keep it simple, stronger demand for replacements. In brackets, think about silica for tires. 
 And second -- and that is worthwhile to mention. The overall inventories are still empty. And empty means they are far away from being refilled. That translates into -- you think about coatings, for example, that translates into -- for Evonik and for business line and specialty additives for -- and Smart Materials into good and attractive growth perspectives for the next year. 
 Talking about the fourth quarter, we expect that these trends would stay put. And thinking about 2022, given the logistical constraints we expect to ease, we do see a good potential for a strong rebound in the course of next year. I do hope that this is helpful for you to judge upon the perspectives of Evonik. 
Operator: Our next question comes from Mubasher Chaudhry at Citi. 
Mubasher Chaudhry: Can you please talk about the margin development in the Nutrition & Care division? I understand the propylene is up strongly and therefore impacting methionine margins. But how much of that weakness was offset by the contribution from the higher-margin LNP sales? If there some comments around, that would be helpful. 
 And then related to that, are you able to break out the EUR 85 million year-on-year growth that you see in health care between LNP and then kind of the rest of the business? That would be very helpful. 
Ute Wolf: Yes, Mubasher. I'll start with the first question, the margin in NC. I think in Q3, you see a temporarily somewhat lower margin. Of course, the higher raw material costs played a role in that, but we also prepared for maintenance in Q4 that also weighs on the P&L, one-off provisions, so that our temporarily higher personnel costs for this year as the bonus fulfillment is higher than the normal 100% level and some other temporary effects. 
 They will not reappear in Q4. So I think what is really remarkable that NC is now in the right range with the EBITDA margin, Q3 some extra one-offs. But I think the main level is into the right direction, and that is what we're working on. 
Christian Kullmann: Help me understand, the EUR 85 million is year-on-year sequentially? Or what are you referring to here? 
Mubasher Chaudhry: So that's year-on-year growth. 
Christian Kullmann: In sales in the third quarter, right? 
Mubasher Chaudhry: Yes, in the third quarter in health care. I'm just trying to -- the simplest way to look at it is how much did LNP contribute in the third quarter? 
Christian Kullmann: Yes. It's about half from Healthcare & Care Solutions. It's even somewhat stronger in the Care Solutions as Health Care and the good sales are coming through more and more in the course of the year. 
Operator: And our next question comes from Thomas Swoboda, Societe Generale. 
Thomas Swoboda: I have 2 questions, if I may. They are somehow linked. On price increases, are price increases coming through equally good in all of your businesses? Or is -- are there any pockets where you see more pushback? 
 And the second question, and thank you for all the detail you provided on the -- on energy, but one of your peers is kind of highlighting that it's much more difficult to pass through energy cost increases to clients. So I would be interested if you are planning to pass on the energy cost increases entirely, or you think you will have to digest a part of them. 
Christian Kullmann: Thomas, I'll take the first question, and I'll keep it simple. Two letters, 1 message, no. With this, I do hand over to Ute. 
Ute Wolf: Yes. Energy prices, I think, of course, we have, in some businesses, we have components for energy prices, so that is then part of the contract and the pricing mechanism. And of course, when we do our price initiatives in advance, we really very well consider, so what is the potential? How do we then give it -- or how do we exercise that and execute that in detail? 
 And raw material costs and other things and energy play a role. But again, I would like to highlight that our pricing is value-based, so what is really the advantage for the customer, that's the main driver for price developments. And of course, if you are in a market where there's a lot of shortage, maybe then pass through is somewhat easier. And I think that describes the corona landscape very well. 
Operator: And our next question comes from Matthew Yates of Bank of America. 
Matthew Yates: Very impressive set of results given all the headwinds that you've highlighted on this call. Two questions, if I may. The first 1 around methionine. You said, generally, across the business, that the price increases are sufficient to recover raw materials. Just wanted to check that, that is also the expectation and the finding and whether you're seeing anything structurally changing, particularly in China around shortages of energy or feedstocks like ammonia that may be impacting your competitors? 
 The second question, perhaps a bit more of a midterm one. I'd like to just understand internally what's driving the speed at which you manage the portfolio to exit noncore businesses. I appreciate the announcement on Functional Solutions, but ultimately, it's a pretty small asset and unlikely to change the market perception about the group. So is the speed at which you're moving dictated by market conditions? Engagement with stakeholders? Or having some intended use of the proceeds? 
Christian Kullmann: Let me start with the second question. The Board of Directors is in charge and is doing best. And our strategy is driven by -- and it goes without saying, by enhancing and bettering the value for our investors. And it is not impacted by, let me say, market trends or whatever. It is just following the line of our strategy. We have been honored to present to you since I have taken helm in summer 2017. 
 That means the line of our strategy is, let me say, the prudent-ness (sic) [ prudence ] of the management team, and that is what we will execute. And as you could see, in the past, the company, and analyzing our company, what we have promised, we have delivered on, and that is what will stay put in future too. 
 So let's keep it simple and keep it very German, okay? Potato by potato, step by step, we will execute on our strategy to create the best specialties chemicals company ever. The first question was about methionine. I must say, what is a good investors' call? What is a good analyst call? What is an analyst call good for not touching the methionine topic?
 So talking about methionine, I would say, yes, this is an attractive year we have seen in respect to volumes. And in respect of our margin and our price increases, we have started in the last few weeks, will definitely become more visible in the next month. So they will pay off in 2022, and will support our growth ambitions in the next year. And as I have conveyed to you, together with Ute for 2022, we are confident and optimistic. 
 So that is, I guess, a question about methionine. Please forgive me. You have asked about some impact of our competitors. Yes, there are some planned and unplanned shutdowns in the industry, we have been aware of. And yes, they are, to a certain extent, may be impacted by those energy constraints in China. That is, of course, the case, but it is not about me, let me say, to comment about strategy and those impacts of my honorable competitors. I guess it is the way of being polite and I will stay so, so I guess you could accept it. 
Operator: And our next question comes from Geoff Haire at UBS. 
Geoffery Haire: I just have 1 question really. And I -- can you just -- you mentioned that the Functional Solutions side at Lülsdorf was a challenged business. Can you tell us what other businesses are challenged within the -- from an ESG point of view within the portfolio? 
Ute Wolf: I think it's a very small portion of our business, so really below the product line level. Tim is looking for the detailed list. But really, I think if you look at our ESG presentation, you'd see that we really have a lot of very positive impacts here and challenged is really very small portion. 
 And I think here, we have it like microplastics and cosmetics, but this is what we then substitute with our products, mercury-based electrolysis, that's what we talk about. So when I think that's more or less the challenged part. But it's really -- we have 35% next-gen solutions and a lot of, I think, performer is the right category. So I think we're pretty well-positioned with regard to that. 
Operator: Our next question comes from Sebastian Bray of Berenberg. 
Sebastian Bray: My first one is on the tax rate. The midterm guided tax rate for Evonik has gone up from 28% pre-Q2 to 29% in Q2, and now 31% now. Is there something in particular about Evonik's business structure or legacy acquisitions that has meant it was difficult to achieve visibility on tax rates? I haven't seen the same shift taking place elsewhere in the sector. And I'm, in particular, thinking has the global minimum 15% tax agreement somehow affected the tax value or [ lessen ] or other acquired assets that came with the benefit of the tax shield. I'll pause there. That's my first question. 
Ute Wolf: Yes. I think that's a very fair question. Of course, the expected tax increase in the U.S. is part of that. I think the tax shield from the acquisition benefits from that. But of course, we have more business and more income from the operating business than just this tax shield effect. 
 And the second and maybe even bigger driver is the global approach of minimum tax, so which, of course, then spoiled schemes, where you have tax holidays for a couple of years. And that, of course, has to be then -- has to be acknowledged in the overall deferred taxes. Maybe we had more tax holiday schemes than others, I cannot tell that in very much detail, but that are the 2 drivers and maybe others do it later, but I think it's very, very, very high likelihood that this will come, and that's why we adjusted that. 
Sebastian Bray: Sorry, just to clarify, Ute, when you say tax holiday schemes, you mean... 
Ute Wolf: Yes. 
Sebastian Bray: Where Evonik has acquired an asset and got a tax benefit from it for a limited time? Or has something else has happened that has given the company tax relief? And effectively, what you're saying is that this global agreement, as those expire, means that the tax rate goes up more than would have been anticipated a few quarters ago. Is that right? 
Ute Wolf: Yes. I think the resolutions on that global tax rate, they are at a couple of weeks old. Now we will see now the more detailed scheme in the Q4. So it's early. We don't know how they really will do it. And you have tax subsidies in some regions to attract investment. So you have tax holidays for, I don't know, 5, 10 years. 
 And of course, those are attacked as well with that global tax scheme. And if we had tax holidays there, of course, they will not come into full effect and that is part of the 31% now. And again, the tax shield of the acquisition is now more valuable. Now with a higher tax rate, of course, it's more valuable, but the rest and which is even higher, now the rest -- the globe -- the operating income, which is much higher, of course, there we pay more taxes. So overall, the effect is negative now. 
Sebastian Bray: That's helpful. Could I ask for an update on 2 things? One is the Baby Care. Is there a date by which the EU competition authorities are obligated to come back on antidumping? And the second question is on Wanhua and the crosslinker market entry that seems to have been up in the air for a while, and it's not quite clear to me if this has gone ahead. Is there an update there? 
Christian Kullmann: I could check the Baby Care one. First of all, in respect of the mentioned antidumping case, Brussels has started end of February this year. It is still ongoing. And the outcome is, having said this, open. And we do expect -- as we could judge upon it from the distance, we do expect the final decision now for latest stage early next year. So between, let me say, a new year and first few weeks of next year, we do expect the final decision of the authorities in Brussels upon those antidumping investigations they have started. And then there was a second question, I guess? 
Ute Wolf: Yes. On Wanhua, the public market, I can take that. Crosslinkers had a very strong 2020 and a very good '21. Auto, maybe somewhat better than expected. What is driving that? The demand situation continues to be favorable. That is also true for '22. So overall, good volume development across industries and applications on continued strong demand from onshore wind energy business in China. 
 That is despite the subsidies were ended here. So again, a very strong market move here towards sustainable and wind energy and the 5-year development plan and the path to zero emissions can now only be reached, also in China, with significant expansion of renewable energy and wind energy so that will be a driver also for the next years. 
 The new Wanhua plant comes into this very favorable demand situation. So from that point of view, I think that will be big demand for the 2 of us. And of course, raw materials prices, they will be increasingly passed on to customers. Time lag can be up to a couple of quarters, 1 year. So that's how we look to Crosslinkers. 
Operator: And our last question comes from Andreas Heine at Stifel. 
Andreas Heine: Three small ones. The first is also on Crosslinkers. Can you share with us how much of Crosslinkers goes into the wind energy market, please? And the second, maybe an update on Veramaris that was hit by the lockdown. And less outdoor eating, is that recovering? What you can say here? 
 And last on the PA12 plant. So ramp-up is -- the commissioning is what we have heard in -- of course, it already is going in Q4. How secure is it that you will have a successful start? Have you the very first, I'd say, commercial products in hand? r just started at the upstream part and the downstream has still started? How secure can we be that, that is, for sure, being a successful start? 
Ute Wolf: Yes. Andreas, as I was now elaborating on Crosslinkers, let me continue with your first question. Wind is around 10% of sales. So there's really a broad variety of applications from that point of view. It's a remarkable portion around 10%. 
Christian Kullmann: Okay. Andreas, I'll take Veramaris. Let's keep it like this. Of course, the business was hit, I might say, even say, to a certain extent, hit it a little bit harder by the corona pandemic restrictions by the hygiene measures, which have been taking, because all of the restaurants and so on have been closed. 
 Now by -- social life is coming back, we do see here, recovery trends. I guess that goes without saying, it is -- if I do take the discussions and debates all around the world about climate change, about more sustainability, about a higher level of feeding population all around the world, about saving and rescuing diversity and the fees -- if I took -- take all this in consideration, I'm -- let me say, I do see, in Veramaris, a very promising perspective for our businesses. We do have here together with the honorable colleagues from DSM. 
 So in a nutshell, we will see that the sales potentials will increase in the course of next year, and that translates into some numbers and figures. I don't know if -- it had a 2-year attempt, precisely. So I will keep you informed about this maybe giving you a call afterwards. Please forgive me about that. And then it is about PA12, Ute? 
Ute Wolf: Yes, I'll take that. So PA12, the market is sold out for some quarters right now. So our new capacity is really, really badly needed in the market. The pent-up demand, I think, will even accelerate that for parts of the product, like for monomers, we have take-or-pay contracts in place and even these customers are really very much looking forward to the deliveries. So from that point of view, I think the start in today's very tight market will be very, very successful. 
Andreas Heine: I was sure about these market trends. I was more thinking about technical stuff for that. It is a very long value chain for all these different steps have to work very closely together, and that's quite complex, I guess, in ramping whole value chain up. And I just wanted have an update how secure we can be that, that runs properly. 
Ute Wolf: I think the production process itself, we have very much well under control because we have been doing this for the case, of course, and we elaborated on that in earlier calls that -- and of course, with COVID, we had some difficulties in the construction, but I think we're more towards at the end of the construction phase. 
 So I think the worst is also behind us here. Four of 6 plants are already in operation or the operation itself, I think, is something we know very long. We have very much under control in the construction phase. We elaborated on that. Of course, we had some headwinds, but I think they are more or less behind us now. 
Christian Kullmann: Andreas, we are Germans. And in respect of tactical, let me say, activities and -- I would say I daresay, even if pigs could fly, we would make the capacities work. 
 So having said this, ladies and gentlemen, together with our Investor Relations team, we are starting to return conferences and roadshows in the next 2 months, still mostly virtual but also partly in person once again. So we would really appreciate seeing you on the road and meeting you in good health. And that is what we wish from the bottom of our hearts to each and everybody of you. 
 So thanks once more and once again, for your attention. We have fully enjoyed having had you here on this call, and that is what closes the call today. Take care. 
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded. You may disconnect.